Operator: Good afternoon. My name is Sheryl and I will be your conference operator today. At this time, I would like to welcome everyone to the Nutanix First Quarter Fiscal 2019 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Tonya Chin, Vice President of Investor Relations and Corporate Communications, you may begin your conference.
Tonya Chin: Thank you. Welcome to today's conference call to discuss the results of our first quarter of fiscal 2019 live from London. This call is also being broadcast over the web and can be accessed in the Investor Relations section of the Nutanix website. Joining me today are Dheeraj Pandey, Nutanix's CEO; and Duston Williams, Nutanix's CFO. After the market closed today, Nutanix issued a press release announcing the financial results for its first quarter of fiscal 2019. If you'd like a copy of the release, you can find it in the Press Releases section of the company's website. We'd like to remind you that during today's call, management will make forward-looking statements within the meaning of the Safe Harbor provision of federal securities laws, regarding the company's anticipated future revenue, billings, gross margin, operating expenses, net loss, loss per share, free cash flow, business plans and objectives, product sales, plans and timing for and the impact of our transition to focus more on software-only sales, and our transition to subscription based business model, expectations regarding products, services, product features and technology that are under development or recently acquired, competitive and industry dynamics, expectations regarding increasing software sales, our plans regarding how we will report the software content and subscription portion of our business, potential market opportunities and other financial business related information. These forward-looking statements involve a number of risks and uncertainties, some of which are beyond our control, which could cause actual results to differ materially and adversely from those anticipated by these statements. These forward-looking statements apply as of today and you should not rely on them as representing our views in the future. We undertake no obligation to update these statements after this call. For a more detailed description of these risks and uncertainties, please refer to our Form 10-K for the fiscal 2018 filed with the SEC on September 24, 2018 as well as our earnings release posted a few minutes ago to our website. Copies of these documents may be obtained from the SEC or by visiting the IR section of our website. Also, please note that unless otherwise specifically referenced, all financial measures we use in the call today are expressed on a non-GAAP basis, and have been adjusted to exclude certain charges. We've provided reconciliations to these non-GAAP financial measures to the GAAP measures in our Investor Relations section of our website and in our earnings press release. Lastly, Nutanix will be at the Wells Fargo Tech Summit in Deer Valley on December 4, the Raymond James Conference, also in December 4 in New York City, the Barclays TMT Conference in San Francisco on December 6, and the Needham Technology Conference in New York City on January 15, and we hope to see many of you there. Please mark your calendars for the Nutanix Investor Day in New York City on Wednesday, March 20. Now, I'll turn the call over to Dheeraj. Dheeraj?
Dheeraj Pandey: Thank you, Tonya. Good afternoon everyone. I'm excited to be joining you today from London where we're hosting our third .NEXT Europe, Middle East, and Africa User Conference this week. We're excited to share our latest updates with more than 3,500 customers, partners and prospects we expect at the show. Those attendees will get to see firsthand as we announce the general availability of Xi Leap here at .NEXT. Leap is a disaster recovery service offering I've mentioned to you in the past. This launch is a watershed moment for our company, delivering our services across the entire customer journey from infrastructure modernization to the multi-cloud, which I'll provide more detail on shortly. Now onto our Q1 results, we had a great start to fiscal 2019, delivering another strong quarter growing software and support billings by 50% year-over-year to $351 million and software and support revenue by 44% to $281 million. Notably, subscription revenue increased 104% year-over-year as we shift our business to an increasingly subscription-based consumption. The combination of higher than guided revenue, better gross margins and lower operating expenses drove our net loss per share to $0.13 per share, significantly better than our guidance of a loss between $0.26 and $0.28. Duston will share more on our financial metrics and outlook later in the call. As we head into .NEXT, I've found myself taking a step back to reflect on how far we've come as a company since we were founded nine years ago. In less than 10 years, we have done nearly $4 billion in lifetime sales, transformed from a hardware to a software business model while being publicly traded, surpassed $1 billion in annual software and support revenue run rate, and surpassed the 10,000-customer mark, while keeping our net promoter score above the 90. In this quarter alone, we closed 63 deals worth more than $1 million and three deals worth more than $5 million, and we now have 15 customers who have lifetime spend of more than $15 million and more than 700 customers with a lifetime spend of more than $1 million. In fact, when you look at our customer base, we have seen 83% year-over-year growth in customers with a lifetime spend of $3 million to $5 million and 111% year-over-year growth in customers with a lifetime spend of more than $5 million. To put our achievements into context, we reached $1 billion in annual revenue faster than any other software company founded in the past 20 years, Salesforce, Palo Alto, Workday included. This success was built on the foundation of strong products and amazing customer service that has propelled us from creating the hyperconverged industry to a sustained leadership position within it. Just this past quarter, we were recognized as a leader in The Forrester Wave for HCI and by Gartner for our 10-point lead in market share versus our nearest competitor in their most recently reported quarter. From everything I've mentioned above, you might think that we are a very optimistic company. On the contrary, we are an intrinsically paranoid company that happens to be optimistic. In my favorite book, Only the Paranoid Survive, Andy Grove talks about this paradox in Chapter’s seven and eight. Let chaos reign, and rein in chaos,. Building is inherently chaotic and you saw a bit of this in the last 12 months of our new product development and complementary acquisitions. These announcements created confusion in the minds of many who aren't simultaneously balancing building and scaling in their day-to-day. Questions such as what is the core of your business, will you need more than your core to get to your stated goal of $3 billion in FY 2021, are the new applications even remotely related to the core or will they leverage the existing core, such questions emerged. In this earnings call, I would like to reign in some of that messaging chaos with a customer journey that will traverse Nutanix’s core essentials and enterprise. The core of Nutanix's business is infrastructure. We call it the Nutanix Core. It's comprised of our software defined storage stack, AOS, an infrastructure control plane, Prism and increasingly, but optional for the initial leg of a customer's journey, our hypervisor, AHV. People say infrastructure is a commodity as it becomes good enough, and all the value will move higher up. They're so mistaken. They don't know how hard infrastructure is to execute and make a reliable business out of. There is a reason why hardware incumbents struggled to monetize OpenStack in response to Amazon. Ask Oracle, and they'll tell you about all the pains of building an IL stack. Look at how Azure Stack has been a non-starter for Microsoft, as Azure continues to bleed on multiple infrastructure stacks for their various workloads. Google itself has been trying to make their own homegrown core to become useful for enterprises, and they've been trying since 2012. Observe how VMware is hedging its best bets between three infrastructure worlds, their traditional three-tier comfort zone, their software-defined struggle zone, and the new AWS cannibal zone. Only Amazon AWS has a true grasp of infrastructure, and even they will have to think hard about how to make it truly enterprise workload ready and also miniaturize themselves, that is, ship code to tens of thousands of sites, to disperse clouds. In fact, our dominance in the core is why VMware avoids doing PoC's in accounts when we are in a head-to-head fight. A case in point was a new customer in EMEA in Q1, a major international airport that is one of the busiest in the world. Remember how in the last decade, Microsoft Hyper-V wasn't good enough, despite being bundled with Windows, for many erstwhile VMware customers who had profound enterprise-grade needs. With this customer, VMware's good-enough wasn't good enough to create dynamic, cloud-grade platform for the majority of their core airport applications. Unlike humans who can work around weaknesses in good enough business software, applications cannot work around good enough infrastructure software they run on. Good enough infrastructure is an oxymoron, period. This is why we’ve been so successful at adding Nutanix Core customers. These customers deploy AOS and Prism platform and AHV virtualization to modernize and deliver a cloud-like experience within the walls of their own datacenter. Nutanix Core customers represent the foundation of our business in the near-term, and are what will enable us to deliver on our goal of at least $3 billion in software and support billings in 2021. In Q1, AHV adoption increased to 38% on a rolling four-quarter basis. AHV was a decision factor for one of America's leading operators of general acute care hospitals, our second largest deal of the quarter, which is more than $5 million. This healthcare provider will expand deployment of our platform to support its field facilities, all using AHV virtualization. Once companies have experienced the simplicity our platform brings to their core infrastructure, they often quickly and enthusiastically want to graduate and standardize on Nutanix across their IT infrastructure, developing pure-play software-defined cloud platforms for their business-critical workloads. These companies are Nutanix Essentials customers, Essentials with a capital E, who build on our Core offering to deliver on security, automation, data management, and operational efficiencies. They do so with Calm for app-centric orchestration, Flow for application security, Files for storage consolidation, and Prism Pro for large-scale operations management. What might not be obvious is that Essentials runs on top of Core, that is, Essentials pulls Core with it in all deployments. Case in point on this leverage and crawl-before-you-walk philosophy is one of our US Federal customers, a department within the US Navy. They have more than $2 million in lifetime bookings with Nutanix and made their first purchase with us in 2016 for VDI. Over the following few quarters they expanded to server workloads in the datacenter and started replacement of legacy 3 tier in remote offices, all with AHV as the hypervisor. Later in their journey, they purchased licenses for Calm, and in Q1, they expanded their Nutanix deployment even further, leveraging our platform across even more remote offices with the addition of both Flow and Prism Pro. Another example of this customer journey is a $1.5 million deal with a U.S. government agency that provides fact-based, nonpartisan information to Congress. This customer which had lifetime bookings of more than $4 million first experienced Nutanix Core almost four years ago. Since then, they have materially expanded the use of our platform, utilizing AHV, managing their unstructured data needs with Files, running all their enterprise applications, virtualizing their Exchange environment, and finally in this quarter, expanding their VDI environment to 4,000 users. Finally, Nutanix Enterprise, Enterprise with a capital E, customers advance into hybrid and multi-cloud deployments with Karbon with a K, Era, Buckets, Volumes and Xi Cloud Services, our new suite of SaaS-based services. This new suite includes Xi Leap for disaster recovery as a service, Xi IoT for edge cloud computing, Frame for cloud-native desktop-as-a-service, Beam for multi-cloud governance and Epoch for multi-cloud application observability and monitoring. Most Xi Services use Nutanix Core and Essentials. Yet others make them better by being multi-cloud, thus making our stack compete better with other clouds. There is no Xi without Core and Essentials. I repeat, there is no Xi without Core and Essentials. All Core and Essentials products, currently running on-prem, will become part of the Xi catalog, and that is what every computing company on the face of this planet covets, a catalog that can run both on-prem and off-prem. This leverage and the customer journey of crawl-walk-run is evident by how our end users adopt our solutions. In Q1, 19% of all our deals involved one or more of our Essentials or Enterprise solutions in addition to our Core offering, calculated on a rolling four quarter basis. We’re confident those customers who realize the simplicity and reliability of our Core will continue to recognize the value of our extended platform and continue their journey with us, seamlessly. We've talked a lot about Xi over the past few quarters and, as I mentioned earlier, I'm pleased to say that Xi Leap is now generally available, with future geographies rolling out over time. Going beyond that, Xi IoT, our edge computing solution, is also generally available, and we have made significant updates to our Frame desktop-as-a-service offering, adding role-based access control in the cloud. Our customers have already validated this that there is demand for this set of services in the market. In the last couple of weeks, we closed a deal with a public-school district serving over 5,000 students to use Xi Leap. We made DR invisible for them. They do not need a backup-and-recovery box on-prem. DR is a huge adjacency for us, and will also become a highly automated way for us to migrate workloads off-prem with one-click. In this quarter, we worked with the Google Cloud team to win a deal with an American worldwide consumer products company in the Global 50, our first with this customer, to deliver Frame virtual desktops to their workforce. The customer has invested in Frame, alongside GSuite, a natural partnership for worker productivity in the cloud-first world. I'd like to highlight another win worth more than $1 million with life insurance company in India. They have decided to move forward not only as a core customer with AHV virtualization, but to rapidly graduate to both Essentials and Enterprise with Prism Pro, Calm, Flow and Xi Epoch. Our message to suit .NEXT is clear. Xi cloud services from Nutanix are now open for business. As many of you know, we made a very successful transition to software over the past year. Recently, we've evolved our business model toward an increasingly subscription model designed to deliver more recurring and predictable revenue. This quarter we saw 51% of billings from subscriptions, up 20 points from 31% just a year ago. We are on a very good trajectory with this transition. Duston will get into our expectations for how this will play out in just a minute. To summarize, over the past year and even today, we have significantly added to the breadth of our platform, broadening our capabilities to address the challenges our customers tackle as they modernize their IT infrastructure and expand into multi-cloud operations. This product velocity stands as a critical advantage for Nutanix. Today, we introduced a simple way to understand our product offerings, based on how our end users adopt Nutanix. This is about a customer journey, a buyer's journey, a seller's journey, a learner's journey, from infrastructure modernization with Nutanix Core to a customer cloud platform with Nutanix Essentials all the way to the use of multiple cloud platforms with Nutanix Enterprise. In the journey to at least a $3 billion billings in FY 2021, three large workloads or markets will lay on top of Nutanix Core, unstructured data, which is files and objects; structured data, which is databases, and desktops apart from virtualization and containers. To conclude, in Q1, we had a strong quarter with notable progress in our evolution toward subscription software, strong product innovation with many new introductions including Xi Cloud Services and continued strong growth in our business. Now, I'll turn it over to Duston to review the financial highlights of the quarter. Duston?
Duston Williams: Thank you, Dheeraj. Before we get into the review of our Q1 fiscal 2019 results, which for revenue, operating loss, earnings per share, and earnings per share exceeded both our guidance and consensus estimates, I'd like to provide some historical background on how we started to monetize our software and how we built and will continue to build on this foundation to ultimately move to a fully recurring subscription business model. The first monetization of our software and the initiation of our recurring subscription business actually began when we first started shipping appliances in late 2011, early 2012 with customers, engaging in subscription-based software and support entitlement contracts, basically recognizing the value of receiving continued software enhancements on an ongoing basis. In 2014 and 2015, we began selling stand-alone software, including software and support entitlements to our OEM partners, Dell and Lenovo and have since added Fujitsu and IBM. In 2015 and 2016, we started to separately sell software upsells or additions on top of our base operating systems such as Pro, Ultimate and later Prism Pro. It was also in late 2016 and 2017 when we first offered our software through a subscription offering to run on HP and Cisco servers. During 2017, we began software-only subscription sales of our operating system, which afforded customers the ability to run our software on the server platform of their choice. And it was in 2018 that we started another monetization vehicle for our software, a subscription-based sale of our software on Dell XC core and Lenovo XC core products. Along the way, we also began selling subscription-based sales of additional software offerings such as Calm, Flow, Files and more recently SaaS-based offerings such as Beam, Frame and now Xi Leap. So, as you can see, our move to software has been planned and executed from day one and has progressed significantly over a several-year period and our move to a fully recurring subscription business model will take a similar path thoughtfully planned and executed over an extended period of time. As we discussed in our last earnings call, the move to a fully recurring business model will involve changes to how our software solutions will be packaged for our historically nonportable software sales. We stated that we would begin a phased-in approach that will transition our non-portable software sales to recurring subscription licensing model. We further stated that this would replace today's licensing structure, which is based on the life of device giving customers greater choice and flexibility around their software procurement strategies and provide portability of the software. We also discussed that we would implement this change beginning in Q2 2019 and ramping through the second half of fiscal year. I'm pleased to announce that we had a bit of an early start with this transition and in Q1, we transacted over 110 customers on this new licensing methodology. These transactions included enterprise, commercial and SMB customers, new and existing customers, as well as a good mix of customers from all geographies. Although we're off to a promising start with our shift to a fully recurring software business model, like our shift away from hardware, we're not naive regarding the work that still needs to be done, with both back-office systems and front-office education to make this transition a complete success. As you might expect, we have both plans with the shift to a fully recurring software model. In FY 2017, our subscription business accounted for 31% of our billings, in FY 2018 our subscription business accounted for 41% of billings and in Q1 2019, the subscription business accounted for 51% of billings. In Q1 alone, our new term-based licensing accounted for over $20 million in bookings. We believe that in the next four to six quarters, our recurring subscription business will reach 70% to 75% of total billings. And by FY 2021, we expect a large majority of the business should be recurring in nature, either on-prem or cloud-based. In our view, this continued shift to recurring subscription business model combined with retention rates averaging 90% and an average contract duration period of 3.6 years demonstrates increased visibility and predictability into our model as the company moves away from life of device licenses. We will provide further thoughts on how we envision the progression of our recurring subscription business model during our Investor Day, which will take place on March 20 in New York. Now, moving onto a few Q1 highlights. Revenue for the first quarter was $313 million, growing 14% from a year ago and up 3% from the previous quarter, ahead of our guidance of $295 million to $310 million. This performance excludes approximately $104 million in passthrough hardware eliminated in the quarter. Software and support revenue was $281 million in Q1, up 44% from the year-ago quarter and up 5% from the prior quarter. Total billings were $384 million in the quarter, representing a 22% increase from the year ago quarter and a 3% decrease from Q4. Software and support billings were $351 million, growing 50% from the year ago quarter and decreasing 2% from the prior quarter. On a billing’s basis, passthrough hardware represented 8% of total billings. This is slightly higher than what we expected and is mostly related to geographic mix and timing of orders. The bill to revenue ratio in Q1 was 1.22, slightly lower than the projected 1.26 reflecting a small change in product mix. Our Q1 deferred revenue increased by $71 million from Q4, up 72% from a year ago and up 11% from the previous quarter, ending the quarter at $702 million. New customer bookings represented 24% of total bookings in the quarter, down from 29% in Q1 2018. We had a record number of customers booking deals greater than 1 million in the quarter. Customers with bookings greater than 500,000 represented almost 50% of bookings in the quarter. We had a strong Global 2000 performance in Q1 with G2K software and support bookings equaling 31% of the company's total software and support bookings in Q1, up from 28% in Q4 2018 and 26% in Q1 2018. In Q1, our software and support bookings from our international regions were 40% of the company's total software and support bookings, up from 36% in Q1 2018. Our non-GAAP gross margins grew in Q1 to 78.6%, up from 61.9% in the year ago quarter and 77.7% in the prior quarter. Operating expenses were $272 million versus our guidance range of $280 million to $290 million. Fewer headcount additions accounted for most of the shortfall. On a non-GAAP basis – on a non-GAAP, net loss was $24 million for the quarter or a loss of $0.13 per share. Few balance sheet highlights. We closed the quarter with cash and short-term investments of $965 million and was up from $934 million in Q4. DSOs on a straight average were 69 days, an improvement of nine days from last quarter. The weighted average DSO was 24 days in Q1. We generated $50 million of cash flow from operations in Q1, which was negatively impacted by $13 million of ESPP outflow and we generated positive $20 million in free cash flow during the quarter. This performance was also negatively impacted by the $13 million of ESPP outflow in the quarter. Now turning to guidance for the second quarter. On a non-GAAP basis, we expect the following for Q2. Billings between $410 million and $420 million, revenue between $325 million and $335 million, gross margin between 78% and 79%, operating expenses between $300 million and $310 million, and a per-share loss of approximately $0.25 using average shares outstanding of 180 million. I'll just wrap up with a few final comments now. We are now at a point where the billings hardware passthrough mix will bounce around in any given quarter at a somewhat immaterial rate between a low of 5% or less and a high of 10%, again with most of this variability related to geographic mix and timing of orders. We expect this to continue for this foreseeable future. Regardless of the actual rate in any given quarter, we would still expect gross margins to remain in the [high 70’s]. And we will, of course, continue to provide the actual hardware percentage each quarter. Additionally, as I mentioned before we have bought about at a steady state range with the percentage of passthrough hardware that we experienced in any given quarter. Therefore, beginning in Q2, the quarterly decline in year-over-year growth in total billings and total revenue that we've experienced during our transition away from passthrough hardware is expected to moderate and growth will eventually reaccelerate as we go forward. And with that, operator, if you could please open the call up for questions that would be great. Thank you.
Operator: [Operator Instructions] The first question comes from the line of Matt Hedberg of RBC Capital Markets. Please go ahead, your line is open.
Matt Hedberg: Hi guys, thanks for taking my question. Congrats on the strong results here. Dheeraj, I'm wondering, can you give us a bit more color on the crawl-walk-run message for Core, Essentials, and Enterprise? And is the right way to think about this as a software bundle or is it still sort of like a la carte within these different tiers?
Dheeraj Pandey: Yes. Thank you, Matt and thanks for the question. So, we -- as I mentioned, we look at this as a journey for the customer, a journey for our seller, a journey for our channel seller, and a journey for anybody who's getting enabled on selling and really furthering our products. So, in that sense, we’re not using this as a price bundle, we're not using this as a way to say look, you will go and buy something based on a certain price book or SKUs assigned to Core, Essentials, and Enterprise. What's really important is people to realize that Essentials uses Core and Enterprise uses Essentials and Core, so there is a progressive utilization of the products and these are not disparate products, they're not like completely misaligned with each other. Even Frame for example, which is a SaaS-based service, very soon in the next couple of quarters, we'll go and use on-prem Nutanix including off-prem Xi. So, if you think about it, a lot of these service offerings will actually start to use both on-prem Core and Essentials and off-prem Core and Essentials running in Xi as well. So, I think the idea here was to basically go and educate and enable our customers and our sellers to realize that there is a progressive way to get to what these new offerings in the SaaS world are.
Matt Hedberg: That's helpful. And then maybe a follow-up for Duston. You eliminated $104 million of passthrough hardware revenue. I think you said that was about 8%. Curious going into the quarter what were the expectations for Q1? I just wanted to get a sense for the delta in that mix.
Duston Williams: Yes, I think it's – I don't have the exact calculation, but it's probably somewhere around maybe 5% or $5 million differential, somewhere around there, maybe a little bit more but somewhere in that ballpark.
Matt Hedberg: Got it, thanks. Thanks. Thanks a lot guys.
Operator: Your next question comes from the line of Aaron Rakers of Wells Fargo. Please go ahead, your line is open.
Aaron Rakers: Yes, thanks for taking the questions and also congratulations on the quarter. Just as we kind of think about the transition that you guys are now executing through, I'm curious if there's a way for us to frame how much of your subscription revenue growth is at this point being driven by the transition of your existing customer base from the portable – or I'm sorry the nonportable software revenue relative to the monetization effects of some of the additional offerings, be it Flow, Beam, et cetera? I'm just kind of curious of how we think about the mix within that subscription revenue between those items.
Dheeraj Pandey: I think the lion's share of this transition is going to come from the Core and how people consume the Core because these are all node-based licensing, if you remember for the last five, six, seven years, and now we're moving to a capacity-based method, which is basically term based. And the fact that it's portable is what makes us use it for subscription as opposed to life of device. So, I would say that it's early to say that anything with the Enterprise, SaaS, or Xi cloud services is adding to the mix, most of it is really coming from Core and Essentials.
Aaron Rakers: Okay. And then as a real quick follow-up, I'm just curious as you guys make this kind of pivot in the strategy, how do you think about the competitive landscape? And I think importantly, the competitive landscape evolving, you know looking out over the next 12 to 24 months, has there been any change currently and who do you view as actually your most formidable competitors going forward?
Dheeraj Pandey: Yes. So, in terms of the competitive landscape, nothing has changed in the last quarter or so. It's still a lot of on-prem three-tier hardware vendors who used to sell blade chassis and fiber channel switches and storage arrays. So, you go and collapse all that with the software defined infrastructure. And we see enough of VMware, but we don't see enough of VMware and about 70% of the transactions are POCs and not seeing VMware, VMware. And we are going after very high-end workloads as well. And the other accounts where we do see VMware, I think we're going for head to head fights. We're going with – I mentioned this in my script as well, I mean we really want to go after POCs, proof of concepts, with VMware. We've built some highly automated testing tools and we really believe that customers are looking for the same high quality that they were expecting from these three-tier hardware deployments to come from a software defined infrastructure. As I mentioned I think nothing had changed in that respect in the last year itself. Now, Dell EMC definitely is closer to VMware than it was, let's say, a year or two ago. But even there we have navigated competition waters really well. We have moved to Dell XC Core products and XC Core is basically meeting the channel where we actually use a certified Dell hardware. So, in many which ways, we are driving our own brand and our own pool from the customers and many of these things are coming directly from the customers that they want to transform themselves. They are looking at subscription-based pricing, because OpEx is good for them as they look towards cloud consumption and such. So, I think in that sense, the next 18, 24 months is going to be a lot of VMware, a lot of three tier, maybe you see a little bit of Azure Stack, if at all, if you see any Azure Stack. And over the course of the next six quarters, may be some Azure as well.
Aaron Rakers: Very good. Thank you.
Operator: Your next question comes from the line of Alex Kurtz of KeyBanc. Please go ahead. Your line is open.
Alex Kurtz: Thanks guys. A question and then a clarification. So, Dheeraj on the transition to subscription, can you just remind us how the sales organization, as well as the channel will be sort of the quotas in the compensation models will change if at all, as we go through this over the next 24 months? What should we expect and see from the outside when we hear about this transition and what it means to quarterly execution?
Dheeraj Pandey: Sure. Yes, so I'm going to chime in Duston you should also add to this. So, right now, in terms of what we're collecting and what we're even seeing from the customers, they do want to see three-year deals and five-year deals and such. So, I expect that some of this will be driven by the market forces. Right now, our comp has not changed because the three-year sort of subscription collection is pretty similar to what we do in the life of device. Now, as we go and really look at the lower and the midmarket where there might be some price pressure, we might start to do a few more one-year deals, but it's very early to say anything regarding that. And maybe that market will be driven more by inside sales. There could be a new compensation strategy for inside sales and the territory managers, the commercial account managers, who don't deal with enterprise or global accounts themselves. And did you have a second question, second part of the question?
Alex Kurtz: Well, just – that's helpful. Thank you. Then just a clarification around one of your hardware partners has been in the news in the last couple of months. And I was just wondering if you guys could take a chance to explain what you've seen from your side, any potential disruption around that hardware partner and it really matters at all as you look into the rest of the quarter and the fiscal year?
Duston Williams: Yes, Duston, and then I'll let Dheeraj to chime in as needed here. We've been pretty upfront about this that we were notified back I think in March of this through the same reporter actually and we at that time did a thorough investigation and found nothing, took it very seriously. And then this latest round we did the same thing, worked with Super Micro again, took it seriously, found nothing. And relative to the quarter, there were some questions and things like that, but there was no impact to the quarter really at all from this issue. And I think the important thing to remember here is that our software runs on seven different server platforms. So, if anybody did have an issue, they've got effectively six other choices, seamless choices, if you will, to go around this – our software on. So, no impact for the quarter and we found no issues, whatsoever with those allegations.
Alex Kurtz: Thank you.
Operator: Your next question comes from the line of Wamsi Mohan of Bank of America Merrill Lynch. Please go ahead, your line is open.
Wamsi Mohan: Hi. Thank you. Dheeraj, I was wondering if you can just comment on how you view the potential opportunity for multi-cloud management in view of sort of IBM, Red Hat deal announcement? And I have a follow for Duston.
Dheeraj Pandey: Sure. Thanks, Wamsi. So, it's early days, the multi-cloud word is a buzzword, just like cloud was a buzzword, maybe three years ago and continues to be a buzzword today. The way, at least, we look at it is that there will be need for a new, and I'm going to use a metaphor, a hypervisor of virtualization stack on top of multiple clouds, just like there was a need for virtualization or a hypervisor across multiple servers and across multiple storage boxes on-prem. So, we put a layer of software that virtualized servers and storage equipment and we want to do the same across multiple cloud stacks themselves. And in that we have built a few mechanisms, in fact we'll announce a few of them tomorrow around migration and drag and drop from one cloud to another, on-prem to off-prem, disaster recovery seamlessly with one click, so migration becomes a killer app for multi-cloud, just like it was a killer app for – within the on-prem world, the killer app for VMware was VMotion and Storage VMotion and DRS, HA. And all these were just about moving the app when it failed, when it was hotly contended in a high load environment and when it needed to move from an old box to a new box. VMware became a very large company because of building seamless mobility across different hardware boxes and that's what's required across multiple clouds itself. And that's how you commoditize anything. You commoditize anything by virtualizing and you virtualize something by bringing portability of applications in a one-click seamless fashion. So, if you think of this portfolio of products that we have in the multi-cloud world, they are either a policy engine that tells you what is wrong like maybe because of cost or because of governance or security or compliance reasons and then how do you correct and rectify it, which is where you need to invoke a mechanism for migrating it from one cloud to another. So, both the mechanisms and the policies will form the new quote-unquote, hypervisor in a multi-cloud world. So, it's very early days to say exactly what will happen, but what I can tell you is that what is needed in that is a lot of migration mechanisms around storage and networking and security and identity because you have to move an entire app from one cloud stack to another and it takes a lot of doing. So, as a company we've done a really good job of data, data migration, whether it's replication or disaster recovery and runbook automation and things of that nature. But now I think the bar will be raised with security and firewalls and networks and things like that. So, how IBM/Red Hat navigate that it's early. I mean, at some level I think as IBM puts its arms around the OpenStack stack, I think clarity will actually emerge.
Wamsi Mohan: Okay, thanks Dheeraj. And Duston, just a quick one for you, appreciate the incremental revenue breakout that you guys gave. I was just wondering if in just some qualitative terms you could talk about how much of that subscription mix is currently term-based versus SaaS versus support entitlements, any directional color there will be helpful? Thank you.
Duston Williams: Well, of course right now there is very little SaaS in there. As you'd expect that would build up over time. And I don't have the exact – we can get it for you, I don't have the exact split there on the subscription pieces there. There is multiple pieces there with support, but we can get that to you. You've got it almost from the prior breakouts that we've done there, but we'll get that to you.
Wamsi Mohan: Okay. Thanks, Duston.
Operator: Your next question comes from the line of Katy Huberty of Morgan Stanley. Please go ahead. Your line is open.
Katy Huberty: Thank you. Question for Dheeraj, first you mentioned that hybrid multi-cloud is becoming a buzzword and we've certainly heard it from just about every infrastructure hardware, software company this quarter. So, curious how you think it impacts your business. Are you seeing your pipeline growing, customers coming to you because competitors are affirming your strategy? Do your sales people have to spend more time explaining the difference between your strategy and some of the others, just how this evolves as more players follow your lead?
Dheeraj Pandey: Yes, thanks, Katy. Yes, I think we definitely go and talk from the position of our strength as opposed to a position of someone else's strength and many of the customers we go and talk about their adjacency and our adjacency. Their adjacency is on-prem right now and our adjacency is on-prem which is software defined infrastructure. And then we go talk about disaster recovery as a service, like hey, how about the first crawl piece of this multi-cloud journey where we can do one click fail over and testing and fail back and things. All of a sudden, the app is mobile because we did all the hard work with runbook automation shipping data and things like that. So, we basically start with our adjacencies and then there is some of these multi-cloud services that are very adjacent to Nutanix like desktops is very adjacent to what we have really understood and embraced. In the last seven, eight years, we probably are one of the strongest companies to understand end user computing experiences across Citrix and VMware and now with Frame itself. And now people are asking about Frame to be extremely multi-cloud, use my AWS credits, use my Azure credits. I talked about one of our experiences with co-selling with Google G suite itself. So, I think we are going and navigating this multi-cloud buzzword around our adjacencies. So, we don't talk fluff. I think most of the money is still coming from compute and storage and networking and security and some of these workloads around that like files, like databases, like desktop. So, I think we ask our sellers to actually go and focus on workloads because workloads and applications is where most journeys actually begin.
Katy Huberty: Understood. And Duston software and support billings came down a bit this quarter. Is that just new seasonality as the business scales or was there some impact of the subscription transition in the quarter, if so, how much?
Duston Williams: Yes, no, there really wasn't any impact to say on the subscription piece. Actually, when you look at the length of these new licenses, the $20 million, it's slightly higher than the 3.6 average. So, there really wasn't any tilt to one year or anything like that in that. But we had – just looking and addressing billings in total, we had guided billings down actually in Q1, we came off a really strong Q3, a really strong Q4 into a seasonally soft Q1 so that we had guided $370 million to $390 million of total billings and obviously we came in at roughly $384 million, so close to the top end of that range. So, it was kind of as expected there and the pieces kind of fell off as they did.
Katy Huberty: Okay. Thank you. Congrats on the quarter.
Operator: Your next question comes from the line of Jack Andrews of Needham. Please go ahead, your line is open.
Jack Andrews: Good afternoon. Thanks for taking my question. Dheeraj, it looks like to me you are achieving the highest growth rates with customers that are spending the most dollars with you. You talked about the 111% year-over-year growth and customers spending more than $5 million. So, I was wondering if you could drill down on what's happening with these larger dollar amounts in particular, I mean what's really driving that and do you view kind of these large dollar amount activities as leading indicators for the rest of your customer base?
Dheeraj Pandey: Thank you. Yes, I think what you're seeing is the first phase of what we talked about as segmentation almost 18 months ago in around February of 2017. We talked about segmentation. So, in that first phase of segmentation of our sales force we moved up market and that creates a lot of opportunity for cross sells, upsells, more workloads, expanding workloads. And in fact, we have shown that through our repeat business numbers that they have actually grown across our customer base itself. The next phase of the segmentation will be around inside sales and how do we really go about these mid-market customers, lower-end mid-market customers themselves and you will see that happen in the next 12 months. I think we have settled down on the upper half of the pyramid, now we are going for the middle of the pyramid in some sense with channel investments and inside sales investments and such. So, I think it's a barbell strategy for us. One end of the barbell is large customers. The other end of the barbell is a frictionless transactional business and we expect to actually go and figure that out in the coming quarters and beyond.
Jack Andrews: Thanks. And then just as a follow-up, could you maybe frame what your customer base looks like today in terms of mapping it to the Core, Essentials and Enterprise layout that you introduced? What it looks like today and how you see that trending over time?
Dheeraj Pandey: Yes, in fact we started – we introduced a new KPI in our infographic and I spoke about it as well. And in fact, it's going to be in the investor deck too. 19% of all our deals that have one or more products beyond Nutanix Core, so obviously everybody has Nutanix Core except for maybe one or two customers that are not using Nutanix core, because they're Frame customers that are using desktop as a service in AWS or Azure. But other than that, it's all Nutanix Core customers. And we will start to report on this on a quarterly rolling four quarter basis going forward. And maybe someday we will actually even say how many of our customers have both Core and Essentials, how many of our customers have Core, Essentials and Enterprise as well as these numbers start to really come together.
Jack Andrews: Great. Well, thanks and congratulations on the results.
Dheeraj Pandey: Thank you.
Operator: Your next question comes from the line of Erik Suppiger of JMP. Please go ahead, your line is open.
Erik Suppiger: Yes, thanks for taking the question. Couple of things. One, on the Enterprise and Essentials ratio what kind of contribution – if 19% of deals include products from those product categories, how are revenues going to track to that longer term? Do you envision that customers that are buying multiple products would the Core product, would the Core – would the Essentials and Enterprise products eventually eclipse the Core component of those customers or how can that – how can that revenue contribution look, if you look out a few years?
Dheeraj Pandey: Yes, one good thing about the nomenclature is that it's timeless. Over time more things will actually fall into essentials and then some things will fall from essentials to core itself, because as technology matures, some things become Essentials and then other things that were Essentials now become Core itself. So, we expect that we'll start to bolster more of the Core. I mean some things might even fall off the Core because everybody knows that that's really needed anyway. So, might not even talk about, for example, let's say Prism being part of the core because Prism is assumed to be part of the core. Similarly, AHV might become part of the Core and then over time if we really start doing 80% of everything at AHV you might say, look, why even talk about it actually. So, I think the whole idea of this nomenclature is that over time things will move from Enterprise to Essentials and from Essentials to Core. But the customers start to experience the journey from Core, especially the new customers who never heard of Nutanix before and there is quite a few out there. I mean today when you look at just Americas Global 12000, we've barely scratched the surface. We've only 15% penetration in Americas Global 12000. So, even on the 85% of the customers will need to go through the experience of Nutanix Core then the Essentials, then the Enterprise.
Erik Suppiger: On the AHV piece, it's been on a pretty good trajectory. I think it increased about 3% over the past quarter. When does that start to reach a maturing level? When are we going to see that contribution of AHV customers basically stabilize?
Dheeraj Pandey: You just saw me talk about the Global 12000 Americas alone and we are only 15% penetrated there. So, there's a lot of new customers and I think there is basically a three-layered cake there, which is the Global 500 and the Global 2000 and the Global 5000. And they all have different kinds of needs. I mean many folks in the Global 5000, they're looking at VMware, as the new Oracle like there's a lot of predatorial practices around licensing and auditing and things of that nature happening. The people are saying, look, I really want to look at virtualization as a commodity actually, it doesn't really belong in like multi-million-dollar sort of in expense and things like that. And then there are other customers who love VMware and then yet other customers who are actually completely, I would say, neutral to what the virtualization stack itself looks like. So, we are going to see a lot of progression in this over the coming two, three years. I don't expect this to actually materially stabilize at least for the next two years. And obviously all of Xi is AHV. So, if you think about our cloud offering, what we're using in Xi is all AHV. And the best part is that without being too self-righteous we're saying, look, we will actually support mix mode customers where the on-prem that they're running is VMware and the off-prem could be AHV, and that's what customers really like about us that we don't go and shove AHV down their throat. We're saying, look, if you are happy with VMware, stay with it, because you can still go and sell a lot of data services and network services and compute services on top of it actually.
Erik Suppiger: Very good. Thank you.
Operator: Your next question comes from Jason Ader of William Blair. Please go ahead, your line is open.
Jason Ader: Thanks, guys. I guess the first question is just on the macro environment. If you could provide some commentary on what you're seeing out there, whether you've seen any changes given some of the kind of political fluctuations? And then the second question is kind of on this multi-cloud hypervisor vision for you Dheeraj. As you think about what you need – the pieces that you need to get there, I would think Kubernetes is pretty critical, just because it's being seen as in a lot of ways the key kind of common denominator of SaaS cloud. So, any comment would be appreciated on what your plans are for Kubernetes development?
Duston Williams: Yes, just on the macro, Jason, we always are looking at it and making sure that we're not missing anything, but clearly, we haven't seen any slowdown in our business anyway now. We're not a $20 billion company that would have insights into everything, but certainly within our realm anyway we've seen really no signs of that. Obviously, we look at it all the time and a lot of companies are having issues one way or another with currency. We're fortunate to be selling obviously in U.S. dollars and things like that. So, we've got that reasonably covered from that perspective, but we continue to look at it and continue to monitor it and be aware of it, but there is nothing right now, that we see that's impacting the business.
Dheeraj Pandey: Yes. And yes, we have levers to make adjustments as needed and people versus programs, things of that nature. And obviously nobody has a crystal ball around this. This is going to be a black swan event whether we like it or not, and I think the people versus programs levers piece is an important piece of our strategy going forward. As we see anything really dampening with the macro, I think we'll have ways and means to go adjust accordingly actually. And talking about your Kubernetes comment, definitely Kubernetes makes compute very mobile and portable, but then there is everything else around it that really needs to be made portable as well which is storage and networks and identity and security and I mean there's a ton of pieces around [net stack] and storage that need to be portable as well. And I think it's one of the core advantages of Nutanix is that we really understand data, data migration, replication, backups, things of that nature, plus we understand networks now. For the last couple of years, we focused so much on networks, around networks and security. I mean Xi would not have been possible without really digging deeper into multi-tenant networks. Like, what does it mean to really move an entire primary site from on-prem to off-prem without changing even a single IP address is a very hard problem that we had to go solve for. So, a lot of the network virtualization pieces that have come together in Xi make us really competitive in the space of portability of applications, but Kubernetes alone doesn't make an application portable because there's a lot more to an application state than just sitting on the server itself, which is basically just software. That software needs storage, that software needs other services like object storage clusters and file storage clusters and active directory and VLAN settings and load balancers and firewalls setting, all those things have to move around before you call Kubernetes to be the end-all and be-all of migration.
Jason Ader: And on the [indiscernible] from you guys, is that something that you support today, Kubernetes?
Dheeraj Pandey: Oh, absolutely. In fact, we have gotten really deep into Kubernetes over the last 12, 18 months. This is one of the biggest advantages of our architecture that all our core now runs as containers, all our core. And that has been a big issue with many other companies that actually run inside the kernel, inside the hypervisor. You can't go and really infuse the value of containers inside the kernel of a hypervisor because it actually was written 15-18 years ago and they didn't think about services, they didn't think about patch upgrades, hot upgrades, reboot-less upgrades. Many of these things that Kubernetes actually makes possible we've been able to do in our own software. Now people can run Kubernetes containers on top of Nutanix. So, one thing that we actually really went on the path of saying, look, no change to the open APIs and CLI of Kubernetes, unlike Pivotal and Red Hat who actually added wrapper stuff around there. We are going and saying, whatever open source is, is what we will actually go and support. So, things like Kubectl and all the APIs are exactly the same. And in fact, even on Calm, which is the orchestration layer that we have, we’re saying the app specification of Kubernetes is a subset of Calm's app specifications. So, you can take a very well formed Kubernetes back and put it inside Calm and now you have a hybrid app, which is both a combination of containers and virtual machines actually, which is probably going to be one of the hardest things that IT will struggle with is, now my entire app is not containerized, I have things that are running as containers within an app and have other things like database tiers that are running in virtual machine. So, how do you really go and make a hybrid application possible? How do you make it auto scalable? How do you upgrade it? How do you migrate it? And all these verbs of an app, which is backup, replicate, scale out, upgrade, migrate, all these verbs in the app are now possible with Nutanix in a very hybrid setup, which is both combination of containers and VMs. And that's where the money will be.
Jason Ader: Thank you.
Dheeraj Pandey: Our IT ops – we have to go and talk to IT ops in a way that is mundane, but it is still pragmatic and realistic about the transition to containers because overnight we're not expecting every piece of the app to become containerized.
Jason Ader: Great.
Operator: This concludes today's conference call as we’ve completed the allotted time for questions. Thank you for your participation.